Operator: Good afternoon, ladies and gentlemen and welcome to the Second Quarter 2020 WideOpenWest, Incorporated Earnings Conference call. At this time, all participants are in listen-only mode. [Operator Instructions] Please note, this call maybe recorded. I would now like to turn the call over to Mr. Lucas Binder, WOW!’s Vice President of Corporate Development and Investor Relations. Mr. Binder, please proceed.
Lucas Binder: Thank you, Leo. Good afternoon, everyone and thank you for joining our second quarter 2020 earnings call. With me today is Teresa Elder, WOW!’s Chief Executive Officer and John Rego, WOW!’s Chief Financial Officer. Before we get started, we need to remind everyone that during our call, we will make some forward-looking statements about our expected operating results, our business strategy and other matters related to our business. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors, including most recently the economic uncertainty relating to the COVID-19 pandemic and may cause our actual operating results, financial position or performance to be materially different from those expressed or implied in our forward-looking statements. You are cautioned not to place undue reliance on such forward-looking statements. We disclaim any obligation to update such forward-looking statements. For additional information concerning factors that could affect actual results to differ materially from our forward-looking statements, please refer to our filings with the SEC including the Risk Factors section of our 10-K filed for the year ended December 31, 2019 and other reports subsequently filed with the SEC. In addition, please note that in today’s call and in our earnings release, we refer to certain non-GAAP measures, please refer to our 8-K and turning schedules for the reconciliations of non-GAAP financial measures to GAAP and our reasoning for presenting such measures. Now I’ll turn the call over to Teresa.
Teresa Elder: Thanks, Lucas. I hope you and all those dear to you are doing well as COVID-19 continues to impact our daily life. Today I’m joined by our new Chief Financial Officer, John Rego. I’m very excited to have John at WOW! and I’m delighted with this enthusiasm for the business and experience in this space. I think many of you may have spoken to John in his previous CFO role. Today he’ll share our financial update after my strategic business highlights. As we manage our business through this unprecedented time. WOW!’s focus remains on our vision. Connecting to people to their world through the WOW! experience which we define as reliable, easy and pleasantly surprising every time. Now more than ever, we’re connecting people through broadband as our broadband-centric approach gains momentum. Consumers are shifting toward high-speed data only adoption, faster speeds and increased penetration of Whole-Home WiFi. This shift is fueling our growth in high-speed data RGUs and reinforces our strategic news towards leading with broadband connectivity. Demands for our broadband services led to the best second quarter of high-speed data RGU growth in at least five years. We added more high-speed data RGUs in the first half of 2020 than we did in all of 2019. During the second quarter, 77% of our new customers subscribed to either our high-speed data only offering or our high-speed data with a streaming service, which is up from 57% in the year ago period and 66% in the first quarter of 2020. Well some of the change in consumer behavior can be attributed to the global health crisis. We believe the ongoing shift away from traditional video will continue to accelerate. Our advanced broadband network is equipped to respond to this demand we’ve positioned our business to focus on the innovative broadband products and services that our customers want. These innovated products and services were sighted by Cablefax as reasons they recognized WOW! as MSO of the Year. We’re proud of this honor and it also recognizes the growth we’ve realized over the last year. Our success is a direct result of WOW!’s ability to be nimble and the hard work and dedication of each and every WOW! employee. Additionally, we were named as best and brightest company to work for in both our Chicago and Atlanta area markets. These are meaningful awards as we work to ensure employee as well as customer well-being during this time of the pandemic. We also welcomed two new additions to our executive leadership team and one to our Board of Directors. I’ve already introduced John Rego, our new CFO. But we also welcomed this quarter Shannon Campain to the team as our new Chief Commercial Officer. Both John and Shanoon bring a wealth of experience to their roles at WOW! and it really hits the ground running. I believe they will provide great leadership for our business as we execute on our initiatives in 2020 and beyond. I’m also pleased to welcome Gunjan Bhow, to our Board of Directors. Gunjan is the Global Chief Digital Officer of Walgreens Boots Alliance and previously served in Senior Executive leadership role at the Walt Disney Company and at Amazon. He brings a wealth of experience in consumer digital products, digital transformation and success at navigating multiple cycles of disruption and technology [indiscernible] broadband and the media ecosystem. Now let me highlight, how we executed in the second quarter. Total subscribers grew 6,500 in the second quarter of 2020 which includes 900 subscribers from our Edge-Outs. High-speed data RGUs grew by 8,000 in the second quarter which included 7,100 organic high-speed data RGU net additions. This was the best second quarter of high-speed data net addition in at least five years. WOW!’s participation in the FCC Pledge to Keep America Connected was the right decision for our business and customers. The customers who took advantage of the pledge remain in our base and many of these customers that have worked with us to make payments and are already current on their bills. WOW!’s committed to working closely with its customers to ensure that they can stay connected with friends and families and have the ability to work and learn from home through these unprecedented times. Our commitment to the FCC Pledge has favorably impacted involuntarily turn in the second quarter. But separately voluntary turn also contributed to the lowest churn for a second quarter in at least five years. We expect variability in subscriber growth in the second half of 2020 associated with the uncertainty surrounding COVID-19. As an example, communities and companies’ decisions related to school reopenings and ongoing remote working behavior are still being determined as August begins. Second quarter 2020 business services subscription revenue grew 3.5% year-over-year. Now although the ongoing economic impact from the pandemic poses some challenges to this segment. We do see some small businesses purchasing higher speed services as they transition to online operations. Second quarter adjusted EBITDA was $101.3 million. We expected an impact on adjusted EBITDA from COVID-19 of $7.6 million. For the second quarter WOW! generated $17.7 million in free cash flow. As we enter 2020, we highlighted the plans for the business around a concerted effort to drive greater, high-speed data adoption and we remain laser focused on keeping our business aligned with changes in our customers’ behavior as and as well as we can be positioned to take advantage of the ongoing shift with consumers. As I mentioned, 77% of our new customers in the second quarter took our high margin, high speed data only offering. This was up from 57% in the second quarter of 2019 particularly for high-speed data only offering has continued to rise throughout the quarter and was more than 80% in June and this trend is continuing in July as well. Customers are rapidly moving to streaming services or OTT offerings and we’re well positioned to support and even encourage these moves as well. As a greater percentage of new customers purchased our high-speed data only option, we are proactively managing our network to support the growing demand for broadband services. we have a plan to move legacy customers over to IP or OTT to allow for better overall utilization of our advanced broadband network. WOW! tv+ which is our IPTV offering is now available in six of our markets. Our plan is to migrate our legacy video customers to high-speed data only and HSD and streaming solution or our IP based WOW! tv+ offering with high-speed data. This migration gives our customers more choice and potential cost savings while it also drives our network efficiency. We are positioning our offerings as broadband first which is reflected in our sales strategy and the aligned of our sales compensation. We believe these actions will continue to support and ultimately drive customer behaviour toward our high-speed data offerings. We believe WOW!’s transformation will drive increased customer penetration and high-speed adoption for our high-speed data product resulting in the realization of higher margin, lower customer churn and better capital efficiency. This will help improve WOW!’s competitive positioning and enable WOW! to accelerate EBITDA and free cash flow growth. Customer behaviour continues to evolve towards higher speed tiers and more services associated with our high-speed data offering. In the second quarter, nearly 40% of new customers took higher speed tiers of 500 Meg or 1 Gig from WOW!. Whole-Home WiFi is a compelling add-on service for our broadband customers providing excellent propagation of WiFi throughout the home. This product generally contributes to higher ARPU and lower churn for customers. For the second quarter, Whole-Home WiFi take rates were up 17.8 percentage points over the second quarter of 2019 and 4.5 percentage points over the first quarter of 2020. Our online sales channel, the lowest cost of acquisition channel has grown to be second largest channel for new customers. For the second quarter of 2020, 38.7% of our high-speed only connect came through our online channel. Now what we’ve been doing is really transformational for WOW! and we’re encouraged by the ongoing success of these efforts and will continue to share how these results are progressing. I’m especially proud of how the WOW! team navigated the challenge posed by the pandemic in the second quarter yet continue to focus on delivering not only critical services to the communities we serve, but to achieve record broadband growth and position us for the future. Now I’ll turn it over John to discuss some of the quarterly financials.
John Rego: Well thanks, Teresa. And practically [ph], that I’ve been here five weeks. I already feel like I’m part of the WOW! family, that’s amazing considering that we’re all working remotely. When I was considering opportunities for myself, I kept coming back to the WOW! opportunity. It was most impressively during the process was the energy level and commitment to excellence of its people and the power of its network. It struck me that WOW! had the perfect combination for success as it works through its transformation to become a broadband-centric company. After five weeks of working with the team I’m even more impressed in fact I’m bowled over by the energy level and the tenacity, as we work through challenging times. As an example of that commitment to excellence, consider that we grew our total net subscribers by 6,500 or 0.8% over the first quarter, driven by the addition of 8,000 high-speed data RGUs or 1% increase. Year-to-date we’ve added 24,100 high-speed data RGUs. This quarter was the best second quarter of high-speed data adds in five years and has during a pandemic. Now that is excellence. Now these results tell me that we’re well in our way to becoming a broadband-centric company. For the second quarter of 2020, we reported total revenue of $282 million which was down 2.7% on a year-over-year basis. High-speed data revenue totaled $137.3 million, an increase of $6.9 million or 5.3% over the second quarter of last year again this is a proof point for our broadband-centric strategy. Business services subscription revenue totaled $35.5 million in the second quarter, a year-over-year increase of $1.2 million or 3.5%. Our net income for the second quarter $2.2 million and our second quarter 2020 adjusted EBITDA totaled $101.3 million giving us an adjusted EBITDA margin of 35.9%. Now COVID-19 absolutely had a negative impact on our business in the second quarter. We estimate the COVID-19 impact on adjusted EBITDA to be approximately $7.6 million that impact was driven by lower advertising revenue and higher bad debt expenses of approximately $3 million. FCC Pledge related bad debt of approximately $1.4 million. Uncharged late fees of approximately $1.2 million also related to the pledge. Customer care cost associated with onshoring resources of approximately $400,000 and other costs and benefits across the business of approximately $1.6 million. I believe our results were solid even in light of the impact of the pandemic and impressive results that our people were able to deliver. Understanding the economics of highly accretive nature of Edge-Outs investments. I want to highlight how we’ve been progressing among the most recent visages of Edge-Outs. For the second quarter of 2020, the 2018 Edge-Outs nodes have achieved 18.5% penetration and the 2019 Edge-Outs nodes most of which were delivered in the second half of the year have achieved 13.6% penetration. Our capital expenditures for the second quarter of 2020 totaled $57.2 million on a reported basis. Now that includes $5.4 million of expansion capital expenditures for business services and Edge-Outs construction. Excluding expansion CapEx, our capital expenditures totaled $51.8 million or 18.4% of total revenue for the second quarter. With regards to liquidity and leverage, we had $39.6 million of cash on hand at June 30, 2020 outstanding debt totaled $2.3 billion and we had $215.5 million of undrawn revolver capacity. As stated last quarter, the company took up a precautionary $50 million draw in the revolver in April which was subsequently been repeat in June based on the stability of the capital markets and further understanding of the global health crisis impact on our business. We had leverage; it was 5.3 million times as of June 30, 2020 on a trailing 12-month adjusted EBITDA basis that was up from 5.32 times at March 31, 2020 because of the impact of COVID on adjusted EBITDA. Look I’m extremely [ph] excited to be here as we transform WOW! from a traditional cable company to a broadband-centric one. I look forward to working with the WOW! team and also getting to know each of you. Now let’s turn it back to the operator and we’ll open up the call to questions.
Operator:
Chris Hodulik: This is Chris for Batya. There’s another very strong broadband quarter. I appreciate you mentioned, you expect greater subscriber volatility going forward. But can you help us think about how much of the first half outperformance has been a pull forward of demand. And can you provide any color on how subs have had it so far here in July?
Teresa Elder: Thanks, Chris. Appreciate the question. I think we’re still trying to figure that out as we said in terms of subscriber demand given we’re not sure specifically what’s happening on the schools and work from home. So I can tell you on the commercial side, we’re encouraged. We’re starting to see some businesses come back and some demand there taking place as well. So we’re continuing to feel our way through it as well. John, is there anything else you wanted to add to that?
A – John Rego: I think that’s right, Teresa. So it’s a little bit of wait and see, but from where we sit right now things are looking reasonably good.
Teresa Elder: I guess I would just add one other thing and that is that, we really believe we’re providing the services our customers want. Our services are very competitive and as customers, have their own budgets being impacted with perhaps the economic crunch. We really provided great value and the kinds of high-speeds and the services customers want and I think that’s part of the reason we have been so successful all the year, not just because of COVID. If you recall back in January, we started the year big as well and we’re pleased to still see that consumer reaction. Thanks.
Chris Hodulik: Great, thank you for that. And if I can just fit in one maybe on the video strategy. You have a range of products out in the market and the release talks about the margin of less you expect overtime from declining video. Do you envision taking more OpEx than CapEx light approach overtime and focusing more on reselling OTT services or do you believe it’s still important to also offer your own set of TV products?
Teresa Elder: Yes, I think that’s a great question and clearly, [indiscernible] absolutely it’s broadband first. And as you could see in the numbers that we were sharing with you, the increase in the percentage of new customers taking broadband only or broadband with streaming, we definitely are prioritizing in going that direction. With that said, we also have a base of video customers and we care about their transition as well and so we’re transitioning them either first to high-speed data only. We have heard from industry research and we find that to be true that probably 75% of most customers out there are subscribed to at least one streaming service, so we see that transition happening. Secondly, we see our existing video customers disconnecting from the video service which is fine and moving to our high-speed data with one of our OTT or streaming services. And then the third option for those customers that still want a curated product from us. We feel great about the WOW! tv+ service. It offers benefits to the customers. We’re seeing that it has an even higher customer stats or NPS score than our traditional video and it moves customers off of our QAM network onto the IP network which absolutely gives us better network efficiency and [indiscernible] serve. So it’s a win-win, a positive for the customers and it’s also a positive for us. So our video strategy is to be supportive really of the bigger picture and that is our broadband strategy. Does that answer your question, Chris?
Chris Hodulik: Yes, it does. Thank you so much for all the color.
Operator: [Operator Instructions] we’ll take our next question from Frank Louthan of Raymond James.
Q –Frank Louthan: I want to talk a little bit about the Edge-Outs strategy. The momentum is still a little bit slower than it was in years past. What are the thoughts on getting that accelerated? How did those go pace through the quarter? What was the receptivity in the second quarter and how is that continue in Q3 in those newer markets?
Teresa Elder: Yes, thanks for the question, Frank. First of all, I think when we started the year, we said we were probably going to do a little bit less in terms of new homes passed with Edge-Outs this year and certainly with challenges with construction given the pandemic. We continue to look at how much we really want to spend this year on new homes passed. With the said, we also are continuing to focus on the vintages that we launched in 2018 as well as 2019, so we’re continuing to grow those. One of the things that is key to growth in new Edge-Outs areas is having our field sales people in the markets. We did pull back from that in this last quarter due to the pandemic, so we didn’t have people in the field and generating the kind of demands that I think we usually do. But somehow with all of those challenges we still are growing those vintages and we still see tremendous opportunity and we’ll continue to pursue that. We now have our field sales folks back in the market with all of the appropriate precautions of course and PPE. Does that help, Frank?
Q – Frank Louthan: No, that’s great. And so, how would you expect that to trend for the rest of the year if you have the full [ph] field sale assuming there’s no other set back and shutdown and things like that?
Teresa Elder: John, do you want to chime in on [indiscernible]?
A – John Rego: I just want to point out quickly Frank that to the earlier point. It was one of the things that was kind of amazing to me as I started to dig into the company that the penetrations really grew in the first half of the year even in light of not being able to knock on doors for four months, that in the last six months. So I was actually kind of impressed by that. I think that as Teresa said, we’re going to less CapEx spend to build out and keep more focus now on penetration. So my expectation is that, we’ll see these penetration numbers go up from now to the end of the year.
Q – Frank Louthan: Was there any particular marketing change that you did? I understand the door hangers and it’s been pretty typical and this is good strategy. But what have you learned from that or is there something new or is it just the nature of folks couldn’t, go anywhere or do anything else and they kind of had to shift how they bought things like they have in so many other areas or is it something new that you’re trying. And do you think that’s been a shift in the consumers mentality that they will start to gravitate to those other forms of marketing?
Teresa Elder: I would say, we continually with marketing are always sharpening our pencil and looking at the competition. So we have a variety of tactics and certainly with Shannon Campain coming on board, we’re excited with continued rejuvenation of our Edge-Outs strategy. What customers like in our organic footprint and that is, that we have high-speed service and we have Whole-Home WiFi and very reliable service. Those three things are very attractive when we go into a new area of especially in areas where customers maybe didn’t have as many choices in the past. And then like I said, we offer great value and that’s great having that. So being able to really focus on that I think we’ll continue to grow our Edge-Outs penetration. We also look at a variety of metrics. We’ve stated this before on previous calls and that is penetration is one variable. We also look at the IRR and the cost of the build out and we still are absolutely on track with the returns that we had expected on all of our Edge-Outs builds.
Q – Frank Louthan: All right, great. Thank you very much.
Operator: And well our next question comes from Tim Nollen of Macquarie.
Q – Tim Nollen: I’d like to come back to the TV side of things again. I appreciate the color around the EBITDA getting back toward. It looks if my numbers are right to be exactly flat year-over-year. And my question is, as you’re pushing your HSD only strategy and such a high percentage of HSD only customers coming on now. How do you think that will play out in terms of your earnings progress? Can we look toward run rate earnings growth for the company all else being equal? I guess how then will you also be actively pushing existing subscribers away from a linear TV bundle onto [indiscernible] OTT packages?
Teresa Elder: John, you want to speak to that.
A – John Rego: Now -- was already going to do it. So I think a couple things and you all essentially know this anyway. But the growth in the gross margins and the high-speed data product are significantly higher than the TV product. But that’s only part of the story. The cost to operate the business for TV is substantially more expensive than it is to operate it for high-speed data or even phone for that matter. So we’re at that pivot point now that is the broadband-centric strategy. So as you track along with us for the next several quarters. If you keep coming up with months where 80% of the new adds are high-speed data only. We’re going to start to see the turnaround happen, so that’s what I’m looking at and I that we’ll see that and COVID’s unfortunate, so negatively hit us a bit this year, as it did everybody else. But if we can see past that, I think we can see it past to sustain profitability.
Teresa Elder: Yes and just to add with that. I completely agree John. We also, Tim have a video rate increase that we’ve implemented starting July 1 and that is of course associated with programming increases and things that we’ve had throughout the year. So that is a significant increase. As customers may call in about that video increase, we offer them alternatives and say, well if the traditional video package we’re offering doesn’t meet your needs. Can we consult with you on what streaming package might work? And that is also a way that we’re converting customers off of the existing video platform?
Q – Tim Nollen: Okay. So it is an active effort to just – do what you said, convert linear TV subscribers onto another streaming service instead which is more profitable to you.
Teresa Elder: Yes. To either high-speed data only if they have their own streaming services, they’ve already subscribed to or high-speed data with one of our streaming services. Absolutely that is the philosophy. However, we also for all those profitable high-speed data and video customers, we will have WOW! tv+ as a curated option that is on the IP network, which is our more efficient network.
Q – Tim Nollen: Yes, got it.
Teresa Elder: So that’s absolute strategy.
Q – Tim Nollen: Thanks.
Operator: We’ll take our next question from Zack Silver of B. Riley.
Q – Zack Silver: Wanted to go back to the HSD net adds in the quarter. You guys put good growth like many of the other operators, for you specifically, what was the biggest driver of that growth between churn and new activations and in the new activations you saw, was that primarily new household formation share shift away from DSL or winning customers away from incumbents [ph]?
Teresa Elder: Thanks Zack. A good question and one thing, I would say it’s a combination of all those things. As we mentioned, we had some of the best churn numbers we’ve had in the company’s history, part of that is involuntary churn and that relates back to the FCC Pledge. We did have a number of customers that we put on those plans. Our plans were different than some of our competitors and that we did not launch any zero cost plans for customers. I think -- the others in the industry were giving like 60 days free. We didn’t do that. We charged the customers and in fact, many of them since the Pledge ended on June 30 are already current with their bills and are being charged as always. So it was a combination of certainly I think our high-speed data broadband service being a compelling offering. Customers who were currently on it, not wanting to leave us. There was some impact from the lower involuntary churn because of the FCC Pledge, but we think that was a smaller piece. And I do think, there are some customers through the pandemic who previously used just wireless that are now moving to broadband because they need to have both services. And clearly, we’re continuing to be successful with those are previous DSL customers, who realize they need more speed. So it’s been a combination of reasons and existing customers picking higher speed and more Whole-Home WiFi. So kind of benefits all around and we feel like our services and our network have been well positioned to take advantage of that. Does that help, Zack?
Q – Zack Silver: Yes, that’s helpful. And one more if I could, just going to the Edge-Outs. The CapEx in the first half of 2020 has come down quite a bit and some of your commentary was around focusing around focusing on increasing pen rates in the existing Edge-Outs. So should we read into that you maybe moderating new home build Edge-Outs CapEx going forward? And then how do we think about capital allocation towards new builds for Edge-Outs versus to paying down debt or share repurchase.
A – John Rego: So this is John. We’re looking at less CapEx this year than last year for sure. I think Teresa said earlier when we look at the 2018 vintage to 2019 vintage. The focus right now is to increase the penetration on what has been built. So with very systematic way we’re looking at that. I think if you look at our CapEx. So the quarter versus a year ago quarter, you would find that it was slightly higher and most of that had to do with us actually proactively going out and increasing our CPE inventories. Although the fear that there might be like a supply chain issue this quarter because of COVID. But all the other components of CapEx have come down and I would expect that again as I said CapEx for the year to be less than last year.
Q – Zack Silver: That’s helpful. Thanks John.
Operator: Our next question is from Kutgun Maral of RBC Capital Markets.
Q – Kutgun Maral: Two if I could. First for John. I know it’s only been five weeks since you’ve joined the company. So this might be premature, but as you slowly settle into the role and evaluate the company through a fresh lens. Are there any specific areas you think it might be worth reevaluating whether it’s the near term or long-term allocation or [indiscernible] of CapEx. Edge-Outs the balance sheet for the video strategy. I guess putting more simply. Would it be fair to say the goal is to find ways to better [indiscernible] to the company’s [indiscernible] then pivot as oppose to a broader strategic shift and I have a follow-up.
A – John Rego: Yes, so great question. It has only been five weeks, it feels like 10 weeks, but it was five. Yes, I’m looking rather specifically into the efficiency of where the dollars are spent. As I told Teresa on my first day just because it’s on the budget, it does mean you get it. So we’re taking a good hard look at everything. But believe me, everything that I look at now is focused on two areas. One is, to become a broadband-centric company that actually means something to me, that’s why I took the job and the other one is, to move the company to a position to continually and increasingly generate free cash flow. So everything that I’m looking at will be revolving around those two things.
Q – Kutgun Maral: Understood, great. Thanks. And then just briefly on broadband, I know we should expect some variably in the back half. Can you just help us think about how elevated churn might be in Q3 given the pledge roll off?
A – John Rego: Yes, you know to these things. As we said, we had an impact that we quantify for this quarter about $7.6 million and by the way we’re expecting to have some negativity from COVID in Q3 and Q3 as well. My expectation is that, we’re going to see a bit more in the bad debt arena, I’m going to quite honest with you. So I’m building that into my own modeling just so you know.
Q – Kutgun Maral: Understand all right. Thank you.
Teresa Elder: And just to be clear on the FCC Pledge. As of June 30, we had about 4,700 customers resolved [ph] that were labeled on, what we’re calling these essential services and once again we were still charging customers for those services. I would say over a third of them are already paying and back up current so far throughout July. So we’re working closely as we always do, to be clear. We always with our customers on payments and listen them. So the pledge was consistent with kind of how we think about working with our customers anyway. But just to let you know the scale, they’re not huge numbers.
Operator: Our next question is from Brandon Nispel of KeyBanc Capital Markets.
Q – Evan Young: This is Evan Young stepping in for Brandon. Verizon had recently announced that 5G home offerings in Detroit which we understand is large market for you guys. How do you see that service from a competitive standpoint?
Teresa Elder: Thanks Evan. In terms of 5G, we really haven’t seen much in terms of any impact in Detroit or for that matter anywhere else. We continue to watch it and remain focused really on our ability to execute and from a wholesale perspective at times. There’s an opportunity for us. But really the strength of our network is such that overtime we could compete very favorably and even faster speeds if needed than 5G. So we really haven’t seen much impact at all in Detroit or anywhere else.
Q – Evan Young: Great, thank you.
Operator: [Operator Instructions] and we have a question from Rob Williams of Octagon.
Q – Rob Williams: Welcome aboard John and thanks for taking the question. One clarification on that 4.7 [ph] thousand [ph] customers on the FCC Pledge plan. Are they netted out of your subscriber numbers for this quarter or are those inclusive?
A – John Rego: They’re in the subscribers number, appropriate bad debt reserves have been put up against some of those folks. That number of 4,700 by the way has come down post the quarter. So I think we’re in below 4,000 as we speak.
Q – Rob Williams: Okay, got you. Thank you. And then another question, just on the speed upgrade side. You gave good color around 40% of your customers taking kind of 500 plus. What percent of your existing customer base throughout this time has been upgrading? It’s good to see the new customers coming in, how is the progress going there and kind of what room do you have to run that a little bit further?
Teresa Elder: Yes that’s a great point. We don’t give out exact percentages on the existing base. But I can tell you many, many customers that are in our existing base over the last few months have upgraded their service to higher speeds or added Whole-Home WiFi just as they seen the demand that all of us are experiencing in our homes, with people working from homes and the kids gaming as well as doing online learning, so that is also happening in a big way too.
Q – Rob Williams: Okay, thanks. And actually just one quick kind of follow-up, if – I don’t know if you’re going to give this one either, just when you do go through and do those proactive video kind of move to OTT and other video product. What’s the process there about working these people through that as well as potentially up tiering [ph] them to higher speeds? And that’s it from me appreciated.
Teresa Elder: Well I think as a company we first start with where our customers are and what their needs are and so it’s a very [indiscernible] process right now, reactively as customers may call in concerned about a service or interested in a new service, they’ve heard about WOW! tv+ or that they just like many people have looked at the bills and see that maybe they’re using more screening services than the traditional linear video. So we consult with them and are happy to transition them to high-speed data only with the higher speed, maybe Whole-Home WiFi so that they can make sure that they’re getting great video coverage or other coverage throughout every aspect of their home and if they still really want that service from WOW! and they’re in one of the markets where we launched, we offer WOW! tv+. But right now, as always, we are led by our customers and want to offer robust services to them, that’s the prior read that we look at.
Operator: And that concludes our question-and-answer session. I would be happy to return the call to Teresa Elder for any closing comments.
Teresa Elder: Well thanks so much everyone and thank you John for your first call for WOW!. We appreciate all of you joining us this afternoon. Thanks for your continued interest in our business and your support at WOW!. Have a great day.
Operator: This does conclude today’s program. You may now disconnect your lines and everyone have a good day.